Operator: Greetings and welcome to the Ark Restaurants First Quarter 2020 Results Conference Call. At this time, all participants are in a listen-only mode. The question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Sonal Shah, General Counsel.
Sonal Shah: Thank you, operator. Good morning, and thank you for joining us on our conference call for the first fiscal quarter ended December 28, 2019. My name is Sonal Shah, and I'm General Counsel of Ark Restaurants. With me on the call today is Michael Weinstein, our Chairman and CEO; Vinny Pascal, our Chief Operating Officer; and Anthony's Sirica, our Chief Financial Officer. For those of you who have not yet obtained a copy of our press release, it was issued over the newswires yesterday, and is available on our website. To review the full text of that press release, along with its associated financial tables, please go to our homepage at www.arkrestaurants.com. Before we begin, however, I'd like to read the Safe Harbor statement. I need to remind everyone that part of our discussion this morning will include forward-looking statements, and that these statements are not guarantees of future performance, and therefore, undue reliance should not be placed on them. We refer everyone to our filings with the Securities and Exchange Commission for a more detailed discussion of the risks that may have a direct bearing on our operating results, performance, and financial condition. I now turn the call over to Anthony Sirica, our Chief Financial Officer.
Anthony Sirica: Hi, good morning. Before Michael starts his commentary, I just wanted to make everyone aware that we adopted new lease accounting standards in the first quarter. As a result, our Q1 balance sheets include operating leased assets of $60.7 million and lease liabilities of $62.5 million. The new standard did not materially impact our consolidated net income, and had no impact on our cash flows. I'll turn it over to Michael.
Michael Weinstein: Hi, everybody. This was a fairly decent quarter. We expect EBITDA increases to continue from here on in as well. What's really driving the better results are our properties in Florida, Alabama, a better result in terms of comp sales this quarter in Washington, D.C., stability in New York, and stability in Las Vegas. There's not much really to say. It was just a good quarter. I think we're operating well. We certainly have our challenges in terms of operating expenses. Insurance premiums continue to increase a highly inflationary rates. Our New York City restaurants seem to be impacted somewhat by food delivery. That is not as true in Washington, or in Florida, or in Las Vegas. But in New York City, it seems to have an impact.  Minimum wage increases in New York City are done in terms of the three years of rolling of legislative increases. So we now have some stability in payroll. We could probably do a little bit better job with certain of our contract expenses, monthly expenses in the restaurants, renegotiating them. We're going to take on that task soon. But overall, just a really solid quarter. Everything was open this quarter. We were down at the Hard Rocks and Camp in Hollywood during the summer of last year. Those reopened in time for the first quarter of our new fiscal year, so we had full operating results for now. I should mention that JB's on the Beach was profitable in line with our expectations, but they really don't get into season until late December. We expect much better results from them in in the March and June quarters when the seasonality of the business picks up our sales and our operating profits. With that, if you have questions, I'll like to answer them. There's not much more I could say. We're just doing I think a good job at this point.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] First question comes from the line of Bruce Geller of DGHM. Please proceed with your question.
Bruce Geller: Good morning, guys. Congrats on a nice quarter, and on a clean quarter for once. There didn't seem to be too much noise in there, so that was good. So with JB's, you mentioned that we should see a ramp up in the current quarter. I think you've got about six weeks of the quarter under your belt. I'm just curious if it's operating according to your expectations. And then also, can you comment on the potential sale of the related land around JB's, which you guys do not own, and how that may impact you positively or negatively in coming periods? Thank you.
Michael Weinstein: Sure, Bruce. Hi, nice to speak to you. So January is in line with our expectations. Sales are where we expected them to be. Profitability is about what we expected. When we buy these things, we generally leave them alone for a while and rely on the general managers to guide us because they have the history. They know the markets better than we do. The only thing that I will tell you when we took over Rustic and when we took over Shuckers, we thought they would price not in line with value. And we think JB's has some elasticity in prices, and we're putting in new menu pricing is on the 19 of this month. So that's the only move we made. I don't know how that will impact sales and the P&L going forward, but it's more than a minor price increase, my price increases being 2%, 3%. I think this is a 5% or 6% price increase. But with all that being said, right now, the operations are exactly what we expected. In terms of the land under the restaurant and the parking lot across the street, when we leased the sign -- when we bought the operation and in turn gave the owner -- well, negotiated with the owner a lease for 25 years, part of that lease requires him to maintain 121 parking spots for us, to our approval. The parking lot which is across the street is a big driver of revenue into the restaurant. The accessibility, the proximity to the restaurant makes valet parking very, very easy. But out of those 121 parking spots, I would think we would see a dip in revenue, so that is tied into our lease. He is trying to sell the land and the parking lot at what we think is a number far in excess of what the value should be. We have a right of first refusal. If he got anywhere close to what he's asking now, we would not exercise that right. But whoever bought that property is locked in to providing us with 121 parking spots. We think that makes the transaction with anybody else somewhat difficult, unless they have a lot of patience or are willing to wait 24 years to get a release of our lease. So right now, it doesn't bother us one way or the other. If he sold it for a big price, good for him. But we would still have the 121 parking lot spaces with the 24 years left on our lease. So we're not concerned with any revenue impact of a sale.
Bruce Geller: Okay, great. And then can you talk a little bit more about the metrics at Sequoia, how that's ramping up this year, considering you made a pretty substantial investment there? And I know it's been a struggle until now. I'd be interested to know how it's ramping up.
Michael Weinstein: Well, for the quarter, we were up 14% in comp sales. That doesn't translate easily, by the way, into necessarily more operating profit at the restaurant. We're hitting -- we want to make sure our service is great. We had some minimum wage increases in Washington D.C. Again, the expenses of insurance have risen. We're doing better. We expect a better operating profit for the year than we did last year. The catering is starting to take hold. We expect the $1 million increase for the fiscal year in catering revenue. That's highly profitable, incremental revenue. So it is ramping up; it's just not ramping up as fast as we thought. We are doing things to try to hasten the ramping up. We're looking at PR companies. We think the food is good. We think the maintenance of the facility is great. We're doing everything we can. We're lagging on a ramp up in a la carte business. We're not lagging anymore in private events and catering. That's moving forward at nice pace. It's still the a la carte business that's lagging. It's hard to tell how much it's lagging because our season doesn't start really until late April when we have the 600 seats outside. And during the winter months, that location is not as accessible as it is during the summer months when people come out and want to sit on the river and drink. And it's just a dead area during the winter months, and all the other restaurants in the project experience the same lull. So it's really in the spring and summer we're going to find out whether or not we built something that people want to gravitate to.
Bruce Geller: Great. And then just two more quick questions. On the last call, you mentioned that at this point, you might have a little more something to say regarding your lease negotiations in Vegas. So I'd be curious if there's anything further there. And then finally, if there's anything further of note at the Meadowlands.
Michael Weinstein: Meadowlands is easy. Nothing going on at the Meadowlands, other than we're I think the busiest sports betting site, certainly in the state and maybe in the country. So that makes Meadowlands securely profitable. It also proves the demographics of the site. We spoke to online and sports betting as well as on-site sports betting. Our partners at FanDuel, they're doing a great job putting a lot of money into the facility. More betting machines, more T.V. sets. So that's all going well. To the extent that it proves that the demographics around the Meadowlands are ideal for a casino, that would probably have some weight going forward if legislation is passed to change the Constitution to allow for focusing our licenses outside of Atlantic City. But we don't think anything seriously will be considered by the New York, New Jersey State Legislature until New York has announced state betting, and that's probably going to come next year, and we'll see how New Jersey reacts. But until now, the Meadowlands is profitable. We're not putting any money into it without taking money out of it. That's the best answer I can give you. In terms of Vegas, we've made a proposal based upon a conversation we had with the upper tier management at MGM related to extending the lease another 15 years. We had some advantages in that negotiation. We're non-union, we're grandfathered as non-union; we think that's a big deal. We provide New York, New York with a great deal of rental income. That first document, from my understanding, was received well. MGM keeps on changing personnel at the top. We're due for meeting pretty soon. I am told by people who I rely on, on the MGM side, that it was received favorably, our proposal. I don't know exactly when we're having additional meetings. We're three years away from the lease terming out, so we have some time. But we're trying to get this done as early as possible. So that's where we are. I really have no definitive answers for you, other than we gave them the proposal, and I'm told it was received favorably.
Bruce Geller: Great, thanks a lot. 
Michael Weinstein: Pleasure.
Operator: [Operator Instructions] Our next question comes from the line of Jeffrey Kaminsky of JJK Consulting. Please proceed with your question.
Jeffrey Kaminsky: Hi, good morning guys. Congratulations on a nice quarter.
Michael Weinstein: Thank you, Jeffrey.
Jeffrey Kaminsky: Just one topic to touch base. Pretty much everything else has been discussed. You had gone into some detail on the last call about an endeavor out in Ohio, whether it be partnering in some restaurants or consulting on some restaurants. How's that going, and when do you expect to see any revenue out of the project?
Michael Weinstein: Well, the -- first of all, we don't have signed leases yet. But we are working on three restaurants within the complex, which is eastern Ohio. Just to repeat, eastern Ohio sees 30 million visitors a year. It's the most upscale shopping in the Midwest. It's a town with a lot of retail space, 52 restaurants right now, and expanding. So we have hired architects. We've hired branding people and designers. We've made a deal with constructions VCs. So we're moving ahead, even though we don't have signed leases, because we're trying to get three restaurants open essentially right around the first quarter of our next fiscal year. So there's no impact this year, other than we're spending some cash on all these architects, and brand people, and designers. We're confident we're going to sign three leases. We'll see how those restaurants open. We have the opportunity to do more. We have -- I think the leases are fair tenant landlord leases. Operating costs in Columbus are lower than they are in New York City, and we think we can do the same buy-in that we would do in New York City at one-third of the rents and more favorable payroll number than we would have operating here. So what I'm basically saying is Columbus is to us somewhat similar to the operating advantages away from New York that we found in Florida, and Alabama, and in Las Vegas. So we start off with a more favorable equation. Obviously, that means nothing to most of the restaurants due to the revenue that we expect, but we sort of have a way based upon the other restaurants of similar size at what the capacity is for revenue for these new locations. So we're very comfortable moving forward, and we have a developer landlord who we have a very good relationship with. So I think leases will start to be signed the next couple of weeks. But as I said, we're moving forward with design to get these things open on the schedule.
Jeffrey Kaminsky: Thank you.
Michael Weinstein: You're welcome, Jeffrey.
Operator: We have reached the end of the question-and-answer session. I will now turn the call back over to Michael Weinstein for any closing remarks.
Michael Weinstein: Well, thank you for being on the call today. As I said, I think the comparable results that you saw in December quarter will continue into the March and June quarters. We should have a very good year. Look forward to the next phone call. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.